Operator: Good morning, ladies and gentlemen, and welcome to the CECO Environmental Q1 2021 Earnings Conference Call. All participants will be in a listen-only mode.  After today’s presentation, there will be an opportunity to ask questions.  Please also note, today's event is being recorded. At this time, I'd like to turn the conference call over to Matt Eckl, Chief Financial Officer of CECO Environmental. Please, go ahead. 
Matt Eckl: Thank you for joining us on the CECO Environmental first quarter 2021 conference call. On the call today is, Todd Gleason, Chief Executive Officer; and myself, Matt Eckl, Chief Financial Officer. Before we begin, I'd like to note that we have provided a slide presentation to help guide our discussion. The call will be webcast along with our earnings presentation on our website at cecoenviro.com. The presentation materials can be accessed through the Investor Relations section of the website.
Todd Gleason: Thanks, Matt and good morning, everyone. I would like to start by thanking our CECO employees for their dedication and contributions to ensure we continue to deliver for our stakeholders. We would also like to thank our suppliers and partners around the world for helping us to navigate these challenging times. We appreciate all your efforts. Before we discuss the quarterly results, let me also welcome Ramesh Nuggihalli to our leadership team, as CECO's first Chief Operating Officer. Ramesh is a proven executive, with significant experience driving high-performance businesses. Ramesh has been an Executive General Manager for several leading industrial companies, including international assignments in the Middle East and Asia Pacific. Additionally, Ramesh has helped to create and execute growth strategies and M&A activities at the corporate and business unit level. It's great to have him on the team. Now please turn to slide three, as I will highlight the key financial results for the first quarter. Building off the momentum from the fourth quarter of 2020, we started 2021 strong. As we stressed on our last earnings conference call, it was critical we start 2021 with a solid bookings quarter. We did that and more. Orders were $92 million, up 22% year-over-year. We will discuss the details of our orders in a few minutes, but we are pleased with the balanced contribution for many of our businesses and end market momentum.
Matt Eckl: Thanks, Todd. I'll start with slide 6 in orders. At $92 million of orders, we are pleased to see balanced growth year-over-year and sequentially for the second straight quarter. Several end markets that have been installed since this time last year have reemerged as of late. I'm even more excited for our prospects as we progress throughout the rest of 2021. Our sales pipeline continues to expand and has crested at $2 billion watermark. That's up from the $1.9 billion pipeline communicated in March. Our markets are healthy and growing. In addition, we keep pushing into new markets. Just this past two months, we've been on a power plant in India, battery plants in Brazil and a new electric vehicle production plant in the US. It's exciting for me to be talking about growth once again.
Todd Gleason: Thanks Matt. Let's move to Slide number 14. We are rebuilding our backlog and expect to return to revenue growth in the coming periods. Our pipeline of opportunities is near $2 billion and we expect to build on the momentum that has helped us put up several quarters of orders growth. And as both Matt and I have highlighted our growth is balanced across most platforms and end markets. We have a number of key organic initiatives across our business platforms and we are working to prioritize ones with a combination of highest impact in best markets. And with our healthy balance sheet, we will be clear and purposeful around areas we will focus our capital allocation to steadily transform our portfolio into one with more short-cycle sales and a higher blend of industrial revenue mix. The financial targets we have articulated over the past few years remain in place, but we will update them as we progress to our execution. The key is that, we will have a focused set of prioritized platform initiatives as well as an equally focused capital allocation approach. Now please turn to Slide 15 which we included to demonstrate our structural benefits as we turn to growth. Simply put, we have a more streamlined cost structure and far less complexity too. Reducing headcount and tackling ERP system consolidations is not easy. It has been a steady process. But over the past few years and somewhat accelerated in 2020 because of the COVID pandemic, we have established a cost structure that we expect will translate into strong EBITDA and EPS expansion over the next few years a greater than 20% reduction in headcount since 2017 a 65% reduction in ERP and additional system complexity. All of this translates to greater than $10 million annualized reduction in SG&A and a baseline for real earnings power. I appreciate all our CECO employees that have rolled up their sleeves and helped to transform our organization into one poised for higher-margin growth. Let's wrap up with Slide 16. A great start to 2021. Thanks to team CECO for continuing to focus on our customers while navigating the challenging work environment brought on by the pandemic. While things are improving in many areas it remains a challenge and our thoughts are with the millions of individuals still impacted by the terrible pandemic. Our end markets continue to improve overall and our sales pipeline has never been larger. Our strategy progress has brought clarity to our initiatives and focus areas and we continue to make the right progress with our ESG initiative which will result in our first ESG report in short order. We have a cross-functional team of leaders compiling our ESG data, policies and other materials and have outside resources helping us put together a great foundation of information and targets. And with that we thank you for your support and interest in CECO and we'll open the line to questions. Operator? 
Operator: Ladies and gentlemen at this time we'll begin the question-and-answer session.  Our first question today comes from Sameer Joshi from H.C. Wainwright. Please go ahead with your question.
Sameer Joshi: Thanks, Todd. Thanks, Matt for taking my questions.
Matt Eckl: Good morning.
Sameer Joshi: So just looking at -- and first of all congratulations for the nice bookings there. If I just simplistically add the bookings over the last four quarters they amount to around $340 plus million. And then remind me of your timeline of longer term projects? And how do you see this converting into a 2021 annual revenue of $340 million, or what is the expectation there? 
Todd Gleason: Yes. Thanks. Good morning. It was a good quarter of bookings. I'll -- this is Todd and I'll start answering and then I'll hand it over to Matt to provide additional detail. So on the longer term projects, which makes up a bulk of our bookings that go into backlog. Those generally start to turn into revenue in around six months. We'll get some upfront revenue potentially depending on the type of project sooner than that maybe even within the first quarter, but the majority of the revenue starts at around the six-month mark and rolls out to 12 months to 18 months depending on the duration of the project. So -- but a bulk of the revenue if you look at sort of a bell curve is between 6 to -- 12 months to 16 months. On the shorter cycle obviously which is 25% of our revenue those turn from -- if they do go into backlog as a booking they'll turn into revenue in the quarter in the 30-day to 90-day timeframe. Matt? 
Matt Eckl: Yes, you know, that second half and Q1 of next year looks good based on bookings here continued growth in our pipeline sets up for more -- another quarter of good orders and that continues to roll forward. So Todd talked about it perfectly.
Sameer Joshi: Okay. Was this increase mainly from the order that you announced in March from Aarding from Netherlands, or was there other contributions that were significant as well? 
Todd Gleason: That order was specific in the gas turbine exhaust business where we came up with an optimized solution to help stabilize the grid. We're excited about what we did from a technology perspective. I wouldn't say that was anything abnormal as far as size goes in the $92 million that we printed in Q1.
Sameer Joshi: Understood. Just moving to SG&A specifically it was up many -- of course you have done a good job to bring it down but it was up sequentially. Was it mainly because of noncash items, or was there anything specific that caused this uptick a little bit? 
Todd Gleason: Yes. I'll let Matt handle the details. But I think most companies see a sequential increase not all the time. It depends, obviously. But for us a lot of the sequential increase were certain things that are associated with either healthcare, incentive compensation just in terms of how we're accruing for the year. Obviously, time will tell on some of those items in terms of how they flush out stock comp expense things of that. I wouldn't call them onetime in nature, but they're periodic in the sense that it's not like we increased our headcount or our corporate cost per se. Its more how we're accruing for certain expense items and we start the year versus how we finish the year.
Sameer Joshi: Understood. Yes.
Todd Gleason: Yes, and I think that might be the answer. 
Matt Eckl: That said you have variable incentive comp that was basically zero at the end of Q4. And obviously we started accruing for that in Q1. Healthcare expenses that didn't exist in Q4 coming back in Q1 tax expenses associated with employees things of that nature Sameer. 
Todd Gleason: I think it could be helpful. We continue to believe that our -- if you want to call it current normalized SG&A by quarter is somewhere between $18 million and $19 million range. So if it goes a little below or a little above those are typically going to be in the period adjustments or accruals that we may be adjusting in terms of as we go through the year. But I would try to be helpful in that way. 
Sameer Joshi: Got it. And $18 million to $19 million is on a GAAP basis, right? 
Todd Gleason: Yes, that is on a GAAP excluding stock comp and depreciation. 
Sameer Joshi: Understood. Got it. And then just last one but trying to juxtapose two items that were highlighted one in the press release about some more clarity on diversified industrial markets. And second about the M&A expertise that Ramesh brings to the table. Should we read something into that, or what should we expect in mid-2021? 
Todd Gleason: Yes. I think look we've been somewhat consistent over the past few quarters as we've provided external commentary in that we're excited about the organic opportunities within CECO. We think our end markets are healthy and continuing to get healthier. Obviously, there's still a little bit of uncertainty in the market out there in terms of the recovery from the pandemic. But our balance sheet is in a good place. Our cash flow generation obviously in the first quarter and we expect for the year is going to be strong. And we'd like to continue to evolve our portfolio to include a balance of industrial businesses that we think fit really nicely in our environmental and industrial theme as well as businesses that can provide more short-cycle revenue for again revenue mix balance. So, yes, I think you can look at us adding a great operating leader for our organization as we're currently built but somebody who understands and can help us strategically identify businesses that continue to provide an even healthier portfolio mix. 
Sameer Joshi: Got it. That's all I have. Good luck for 2021. Thanks.
Todd Gleason: Thank you. Have a good day.
Operator:  Our next question comes from Bill Dezellem from Tieton Capital. Please go ahead with your question.
Bill Dezellem: Thank you. That’s Tieton Capital. Let me start relative to bookings and order activity. Would you discuss the pattern of that activity level over the course of say the last six months? I'm really thinking starting in November or so and kind of bringing us up through April. And I guess, you're welcome to talk about the first six days of May if you'd like?
Todd Gleason: We don't have a lot for you Bill on the first six days of May, but let me say look, I think it's been an interesting year plus with everything that's going on in the global economies and pandemic related impacts. Q3 for us was a turning point I think we'd say, as we closed the book on Q3. And as we were navigating Q3, we were starting to see our pipeline our future orders really start to move up, but we hadn't booked those orders yet, and we were still interested and concerned a little bit about when those projects would be sort of authorized and released so that we could. You saw in the fourth quarter, now you've seen in the first quarter, two really good sequential periods of orders growth. And I think the intra-quarter trajectories are healthy. We're always a bit back-end loaded like a lot of larger project companies are that the third month of the quarter defines the quarter. But I would say that, what we feel really good about is the engineering work that we're still getting, which is an indicator of these projects are starting to be let. The CapEx is starting to be released, because we're being asked now to not only bid on projects, but start to do some advanced engineering work. That continues to be sustained across a couple of key end markets and that have energy exposure, but also just broad industrial exposure. I'll let Matt also talk about anything that we're seeing in terms of the analytics to kind of answer your question from that momentum. 
Matt Eckl: Yeah. If I just go back to Q3 Bill, I would tell you that, we are very back-end loaded. So a lot of orders come in the last few weeks of a quarter, but a good KPI for us is also the first 45 days because you've created a solid base. And I would say that, if I look back at Q4 October or the first part of November, was starting to get a lot stronger than the first part of even Q3. When we wrapped up Q1 of this quarter just now the first 45 days were stronger than the first 45 days of Q4. And I'll tell you that as far as April goes right now well we haven't released anything there. The first month of Q2 is stronger than the first month of Q4, and the first month of Q1. So again, that goes back to our pipeline and our conviction about growth right now.
Bill Dezellem: That's was quite helpful. Do you have any markets that are either lagging? Not because of cycle time but just the activity level simply isn't there. And conversely, do you have any markets that are just true standouts that are stretching out beyond the others? 
Todd Gleason: Yeah. So I would say just on sort of end market – have exposure there. That continues to be really the only market that we would say of substance, if you want to say broadly speaking what market that's the market that we would say is still soft. There's capacity in that market that is still – there's some supply, that's oversupplied. And I think that, that however is starting to turn and we're seeing those numbers, and we're feeling good. Now, there can be some spot projects in that that we're excited about that for us make our orders potentially look good in the future. But that's the market that we're sitting in right now that we would say is really the only soft one.
Bill Dezellem: And Todd, I'm going to have to ask you to repeat that. I'm not sure, if your phone cut out or mine, but I heard everything but the market that you're referring to.
Todd Gleason: Midstream oil and gas, I'm sorry if we cut out.
Bill Dezellem: Yeah. Okay. Thank you very much. And congratulations that April is starting stronger than the last two quarters. As a result of that, we'll expect orders over $100 million into Q2?
Todd Gleason: We're hopeful as well. That would be fantastic. But what we do like is the balanced health across all of our segments for the most part and that's important to us. It's not just one or two areas. It feels like we have "a lot of options" if you want to think about who we're passing the ball to around the field. We have a lot of open receivers and so we hope to advance from Q1, but time will tell.
Bill Dezellem: Great. Thank you. And then because we are reasonably new to the story I don't have the perspective and the last time that you had orders of $92 million or greater. Do you have that off the top of your head? I know, it's longer than the five quarters that you have in your presentation.
Todd Gleason: Q3 of 2019 and Q2 of 2019 were both over.
Bill Dezellem: Great. Thank you. And then lastly for now, Ramesh congratulations on bringing him in as Chief Operating Officer. What is his initial focus within the business?
Todd Gleason: There's no shortage of things that are going to be added on Ramesh's list of duties. But I can tell you, one is, we are excited about continuing to advance our growth profile and ensuring that our platforms as we sort of articulated here which is how our customers buy from us, how they see us as leaders in this space solving complex problems. It is ensuring that each of our platforms has the right short and long-term strategies to maximize their growth and profitability.
Bill Dezellem: Okay. So, I could interpret part of that answer as focused on acquisitions. And the other part of the answer focused on making the existing business more profitable. Did I hear that correctly? And if so, would you be able to put one in front of the other?
Todd Gleason: I would say strongly one is Ramesh's focus on operational and organic strategies with certainly bringing a lot of seasoned expertise around areas, where we may be able to fill gaps in our growth profile or even profitability profile with small acquisitions that we could add to our core. And Ramesh's focus is going to be on that continuing to drive our operational strategy, which is again mostly focused on propelling our core businesses organically. While I think it gives us, myself, Matt and others the added time to think about our portfolio more broadly and also really dive deep into the best growth opportunities within our current business.
Bill Dezellem: Okay. Thank you, both. And congratulations on the really nice orders. Look forward to seeing those turn to revenue.
Todd Gleason: Thanks, Bill. Have a good day.
Operator:  And ladies and gentlemen, I'm showing no additional questions. I'd like to turn the floor back over to management for any closing remarks.
Todd Gleason: Great. Thanks again, everyone for your interest and your support with CECO. We're excited, how we started the year. As we've articulated in the last couple of earnings calls, our ability to start to replenish our backlog is critical, our strategies around market growth and expanding into new segments and new services. We're excited about the traction that we're getting. We look forward to the upcoming quarters, where we hope to be continuing to sustain this orders growth, but also start to turn to meaningful revenue growth and margin expansion. So with that, we look forward to speaking with you again soon. Have a great rest of your day and week and we hope everyone stays healthy. We'd like to thank again the CECO team for all the work that we're doing to deliver for our customers and stakeholders. Thank you.
Operator: Ladies and gentlemen, with that, we'll conclude today's conference call. We do thank you for attending. You may now disconnect your lines.